Operator: Welcome to the 2017 Fourth Quarter Conference Call for Genesis Energy. Genesis has four business segments: The Offshore Pipeline Transportation Division is engaged in providing the critical infrastructure to move oil produced from the long-lived world-class reservoirs from the Deepwater Gulf of Mexico to Onshore Refining Centers. The Sodium Minerals and Sulfur Services Division includes trona and trona-based exploring, mining, processing, producing, marketing and selling activities, as well as the processing of sour gas streams to remove sulfur and refining operations. The Onshore Facilities and Transportation Division is engaged in the transportation, handling, blending, storage and supply of energy products, including crude oil and refined products. The Marine Transportation Division is engaged in the maritime transportation of primarily refined petroleum products. Genesis operations are primarily located in Texas, Louisiana, Arkansas, Mississippi, Alabama, Florida, Wyoming and the Gulf of Mexico. During this conference call, management may be making forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The law provides safe harbor protection to encourage companies to provide forward-looking information. Genesis intends to avail itself of those safe harbor provisions and directs you to its most recently filed and future filings with the Securities Exchange Commission. We also encourage you to visit our website at genesisenergy.com, where a copy of the press release we issued today is located. The press release also presents a reconciliation of non-GAAP financial measures to the most comparable GAAP financial measures. At this time, I would like to introduce Grant Sims, CEO of Genesis Energy L.P. Mr. Sims will be joined by Bob Deere, Chief Financial Officer; and Karen Pape, Chief Accounting Officer.
Grant Sims: Good morning. The fourth quarter was an exciting one, which included the first full quarter of our recently acquired soda ash operations, the additional long-term commitments for the production from approximately 300,000 acres for downstream transportation on our existing infrastructure in the Powder River Basin, the closing and the sale of our Wink terminal in West Texas, and refinancing of our existing 2021 notes effectively extending the term to 2026 and also resulting in the extension of our existing credit facility into May of 2022. If we look forward to 2018, we’re well-positioned to deliver on our previously announced guidance for visible, achievable, long-term distribution growth and clear path forward to deleveraging. In keeping with the trend we started last quarter, we will skip the typical quarterly comparison of this quarter to the prior year’s quarter and we’ll attempt to provide a little color around each individual segment, their individual quarterly results and how we view the short, intermediate and longer-term financial performance of the businesses. We think the discussion and the earnings releases, as will be expanded in our 10-K, adequately checks the box for those comparable period discussions. Before getting into that, I thought I would make a quick comment regarding the recasting of our non-GAAP measures we referenced in the press release. In fourth quarter EBITDA and available cash, we recognized a $13.6 million gain in excess of the net book value on the sale of our Wink terminal to ExxonMobil. More than offsetting net gain in the quarter was the accrual or $16.8 million of additional G&A expenses, a portion of which related to a non-recurring employee compensation program. So everything else is the same, fourth quarter EBITDA and available cash were both negatively affected by those – these items on a net basis by a total of $3.2 million each. Turning to the segments. In the Offshore segment, the quarterly results were negatively impacted by Hurricane Nate, which based on its path through the Central Gulf at an even bigger disruption on production facilities relevant to us than Hurricane Harvey. These disruptions were temporary in nature with no permanent damage to any of our or our customers’ key crude oil assets, although one situation, which reflects around $1 million a quarter net to us is expected to last into the second quarter. The biggest challenge in the first quarter 2018 is that, there’s only 90 days instead of 92. That alone will cost us approximately $2 million in reportable segment margin for the Offshore segment. With that being said, we’re excited about 2018 and anticipate active, infill drilling at several dedicated and connected platforms yielding 2018 and 2019 production with zero of our capital required. We still expect to move excess volumes from third-party owned and operated pipelines that are anticipated to have insufficient capacity to move volumes dedicated to their systems during the 2018/2021 timeframe. In addition, we have executed agreements for two subsea developments being tied back to existing dedicated and connected hubs, one with first delivery in late 2018 and another in mid-2019, both ramping into 2020, again, with zero of our capital required. To our knowledge, Mad Dog 2, a new 140,000 barrel per day production facility, which is contracted for delivery to shore through our 100% owned Cameron Highway pipeline and requires no capital is still on schedule for first production in late 2021 or 2022. In addition, we continue to have active discussions with several other third-party and/or host operated subsea tiebacks to existing dedicated connected hubs and responding to RFPs for several new plus or minus 75 KBD standalone new hub type developments anticipated to be sanctioned in 2019 or so, with first deliveries in the 2022 to 2024 timeframe. Turning to our Sodium and Sulfur segment, we continue to be pleased with our recent acquisition and happy to report that the production volume in the period was the best fourth quarter production on record at 1,072,000 tons, which resulted in a full-year production record of 3,977,000 tons of soda ash beating the previous record from 2014. This was all done while reaching the best safety record in Green River’s history, which is a testament to the quality and commitment of the employees that joint Genesis in the acquisition. The fourth quarter was also positively impacted by higher than expected ANSAC pricing, driven by higher than expected Chinese domestic pricing influenced by continued environmental inspections resulting in tightened export supply. Another positive was that the Turkish supplier from Kazan did not reliably come online and on schedule, and therefore, was unable to backfill thereduced and higher priced exports out of China. Looking forward, we expect to have strong production in 2018, but you can’t expect to break records every quarter. We anticipate strong Asia ANSAC pricing – Asia ex China ANSAC pricing in first quarter 2018, and we expect 2018 contribution margin, call it, $155 million to $165 million, with the range impacted by both the Chinese export price and volume influence Asia ex China ANSAC pricing and the rate at which Kazan reliably comes online. Our historic sulfur and ash business continues to do well. With continuing favorable and/or improving macroeconomic conditions, we expect the sodium and sulfur businesses to continue to steadily perform with virtually certain modest growth and potentially meaningful growth early next decade. In onshore facilities and transportation,we’re very encouraged by the macro environment ahead of us, specifically as it relates to the material imbalance of pipeline takeaway capacity out of Canada and result in differentials to the Gulf Coast. The fourth quarter was negatively impacted by the lack of railroad capacity out of Canada, despite the economic conditions to encourage crude by rail movements. We expect this issue to get resolved in the second quarter, as the grain harvest comes to an end and the railroads underpinned by long-term commitments from shippers continue to add resources to handle increasing crude by rail volumes throughout 2018 and into 2019. In Texas City, the fourth quarter physical flow volume was below the contracted take-or-pay levels due to unexpected maintenance and operational issues on a third-party pipeline downstream of our Webster delivery point. We would expect this issue to be resolved during the second quarter, with volumes ramping backup to expectations throughout the back-half of 2018. We have long maintained that we would expect a ramp in volumes throughout 2018, and it was our belief that it could until the fourth quarter of 2018 to see the full contribution from a number of our recent organic opportunities, we still believe that to be the case. We’re also excited about our industry and leading position in the emerging Powder River Basin, and during the quarter secured additional commitments from a leading operator for their production from approximately 300,000 acres for downstream transportation on our existing infrastructure. We continue to pursue additional meaningful dedications and gathering opportunities in and around our existing footprint, and are very encouraged by the increasing upstream activity in the stat pay play. Turning to Marine. Our utilization rates, especially in black oil or dirty service remain quite high, but the spot day rates are challenging. As a general proposition, the marine market is oversupplied from a capacity point of view, and that’s not something that turns around quickly. Although it seems from time to time, it’s bouncing along the bottom. We would not expect a significant change in the supply and demand dynamics in 2018 in either the inland or coastlines market. Having said that, the Marine segment now represents only about 6% of our total quarterly segment margin, so little more backup even if they were to occur it’s just not that big a deal in the overall scheme of things. Turning quickly to our financial goals, our calculated coverage of 1.71 times exceeded our targeted ratio – our targeted range of 1.4 to 1.6. Our year-end calculated leverage ratio went to 5.34 turns, up slightly from the 5.28 we reported at September 30. We had a relatively high maintenance capital spend in the quarter. This was driven primarily by the five-year regulatory dry docking for the American Phoenix, as well as the regulatory dry docking of three of our other ocean going vessels, as well as higher than run rate maintenance spend at our recently acquired soda ash operations in Wyoming. Additionally, during the quarter, we had approximately $45 million of total growth capitals spend, with about $15 million spend in Baton Rouge as part of our crude export facilities at the deepwater port there. About $15 million in Wyoming as part of our build out and the gathering into our existing regional transmission system in the Powder River Basin, and 10 or so in marine, primarily associated with the delivery of three new black oil barges. We would certainly expect both the maintenance spend and growth spend to meaningfully decrease, especially in the back-half of 2018. At the same time, as we expect, our EBITDA to grow and coverage of our growing distribution to remain robust. For the coming year, we would expect to be totally self-funding. In fact, we see a rollover occurring, where we’ll actually pay down debt, I understand that’s a novel concept and increasingly higher levels of EBITDA. The combination of these two things, which we believe should accelerate into 2019 and beyond, give us great comfort in our ability to meet the leverage targets at the end of 2018, 2019 and 2020 that we laid out last October. In summary, given our recent and continuing actions to increase liquidity and strengthen our balance sheet, the integration and financial contribution of the soda ash business and the continued ramp up of our recent organic capital program along with contributions from our legacy business, we believe we’re well-positioned for 2018 and beyond to continue to deliver long-term value to all stakeholders without ever losing our absolute commitment to safe, reliable, and responsible operations. As always, we would like to recognize the efforts and commitment of all those with whom we are fortunate enough to work. With that, I’ll turn it back to the moderator for any questions.
Unidentified Company Representative: Kathlyne?
Operator: [Operator Instructions] Your first question comes from the line of Ethan Bellamy from Baird. Go ahead please. Your line is open.
Ethan Bellamy: Hey, good morning, you all. With respect to the soda ash business, I mean, I like that, but a lot of folks that I respect are still pretty skeptical on that. What have you learned about that business and the potential MLP suitability of it since you’ve owned it and have a full quarter under your belt now?
Grant Sims: I think, it’s ideally situated for an MLP structure. I mean, it’s just starting from a macro 50,000-foot level. It has a current production rates in excess of 125-year reserve life. Once we look at the secondary and solution mining recoveries 300 or your 400 years, it has been the market leader, it’s a tremendous advantage. We know that being the market leader in sodium hydrosulfide business, which is our other sulfur-related or sodium-related business. I think, everything else is the same that we have consistently been more and more comfortable relative to our pre-acquisition analysis, as we get to know the business. But importantly, as we get to know the quality of the management group and committed employees that came with it that they’re best-in-class. So very, very comfortable. There is a slight amount of volatility associated with the pricing. But I think that as – the guidance that we gave in the prepared remarks of 2018 shaping up to be $155 million to $165 million on a contribution margin isn’t all that volatile from our perspective. So, Ethan, a longwinded answer to – I think, it’s a tremendous business. We’ve known about it for a very long time. As you probably are aware, part of the operations in Green River is they make around close to 60,000 tons a year of caustic soda. We have for decades been the largest purchaser of that caustic soda, that’s made up there that is not consumed locally for their production processes of soda ash. So there is also the – a kind of vertical integration and the prior knowledge of their operations and management team. So tremendous business all in all. You’re not on a treadmill given the long life of it. It’s basically the cost of entry is infinite, because there is no known trona deposits elsewhere in the world that are economically developable and it can in any way, shape or form compete with the position that natural soda production out of Green River, Wyoming has relative to the world about natural production, as well as synthetic production. So not understood, but the ash business isn’t understood by a lot of people, but they are businesses especially for the stability in an MLP capital structure.
Ethan Bellamy: So did you see any reluctance from customers or any pushback on contractual terms after the recent industry expansion?
Grant Sims: You know I mean I think that’s what we’ve talked about there is, we are not going to make specific comments on overall pricing, but given the range in which we are guiding, there was some give and take and everything, a lot of it depends on product mix and some of it depends on the amount of domestic sales versus sales through ANSAC. So I think that coming out of the gate, I think the LTM advertised EBITDA of the acquisition was around $166 million, we believe that we are being conservative and guiding to $155 million to $165 million, but that too reflect a little bit of the potential noise around the edge from the incremental supply coming on out of Kazan, which I made reference to in the prepared remarks. So, again from a – if that’s the downside, I will do that investment all day long relative to what other people are finding for other "more middle of the fairway" type things.
Ethan Bellamy: Okay one other question and I’ll jump back in the queue, can you give us an update on the PRB investments, how have the timing and return expectations changed if at all?
Grant Sims: I think that obviously in, starting in late 2014 and continuing through 2015 and 2016 a slowdown in activity based upon response to the lower price environment. We are seeing recent kind of dramatic uptick in activity. If you look at the total production coming out of Converse and Campbell counties, which is basically the heart of the PRB and where our existing infrastructure lies through the middle of the fairway, so to speak. Total production has gone for – and combined between the two counties and as I recall in July of 2017, I think it was June, we were approximately 80,000 barrels a day to 100,000 barrels a day based in December based upon publicly available information. So we view it as really in its infancy, has a tremendous amount of similarities to The Permian, both Midland and Delaware basins given the stack play nature of it. We have a number of active large public, as well as large private operators that are devoting significant resources to the play. So we’re – at this point very comfortable with the ramping that we would anticipate to occur this year and on into 2019 as the operators both on the dedicated acreage, as well as the acreage which is adjacent and economically logical to commence our facilities ramps up.
Ethan Bellamy: Okay. Thank you, Grant.
Grant Sims: Thanks, Ethan.
Operator: There are no further questions at this time. I will turn the call over to the presenters.
Grant Sims: Okay, well, I guess that other people are hung up on other calls, but again we think that we are very excited about where we are and we look forward to further reporting on our continuing successes and achievement of our financial goals in future periods, so thank you very much.
Operator: This concludes today’s conference call. You may now disconnect.